Operator: Ladies and gentlemen, and welcome to the Chartwell Retirement Residences Q1 2025 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski. Please go ahead, sir.
Vlad Volodarski: Thank you, Moss. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Jeffrey Brown, Chief Financial Officer; and Jonathan Boulakia, Chief Investment Officer and Chief Legal Officer. Before we begin, I direct you to the cautionary statements on Slide 2. Because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the risks, assumptions and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our Q1 2025 MD&A under the heading Risks and Uncertainties and forward-looking information for a discussion of such risks and uncertainties. These documents can be found on our website or on SEDAR+ website. Turning to Slide 3. The streak of solid operating and financial results continued in Q1 2025, and I cannot be more proud and grateful to our teams for their outstanding work. Their consistent focus on creating exceptional resident experiences combined with innovative sales and marketing strategies generated strong increases in occupancy, driving 400 basis points operating margin expansion and 21.3% same-property net operating income growth. Our continued investments in our management platform, portfolio optimization and most importantly, the strength and dedication of our people have positioned us to capitalize on unprecedented market dynamics in seniors housing, where demand is accelerating and new supply remains limited. We will work hard to maintain this momentum of occupancy and cash flow growth for the remainder of 2025 and beyond. My partners will provide you with more color on various aspects of our business. Karen will do an operating update. Jeff will dive deeper into our Q1 financial results and Jonathan will discuss our portfolio optimization and growth activities. We'll start with Karen. Karen, over to you.
Karen Sullivan: Thanks, Vlad. We achieved a strong 110 basis points sequential quarter occupancy gain in our same-property portfolio with Q1 2025 occupancy reaching 91.5%, we reversed historical seasonal trends of occupancy declines in the winter months. Importantly, with strong leasing activity and somewhat lower than historical notices, we are now forecasting to reach 92.2% occupancy in June 2025. We held a two-day open house event in January, which brought in over 900 initial contacts. This is a 6% increase in initial contacts compared to January 2024 open house. We held another successful open house in April, and our teams are busy nurturing these prospects by bringing them back for follow-up tours and events at our homes. We recently introduced a new automated post-tour survey to gather valuable feedback from our prospects about their experience and to continue to uncover conversion potential. As part of our enhanced approach to business development, we have launched a professional webinar series. Over the course of the year, we will deliver six recorded webinars tailored to real estate agents, health care professionals and finance professionals. In the first quarter, this allowed us to connect with over 1,000 professionals. To further leverage resident referrals as an initial contact generator, we launched a housewarming party initiative encouraging new residents to invite friends and family to visit them in their new home. This initiative fosters a welcoming atmosphere while organically introducing potential new prospects to our communities. Turning to Slide 5. We reduced our staffing agency costs by 50% in Q1 2025 compared to Q1 2024 through our continued focus on recruitment and retention activities. The agency usage across our portfolio is now well below pre-pandemic levels. The final step of our operational reorganization was completed in March with our Quebec team moving to the new structure designed to enhance agility and responsiveness and empower and support our general managers and management teams to drive results. The Quebec team also focused on integrating our newest acquisition, Chartwell Rosemont, 632 Suite Complex on the island in Montreal. We completed the repositioning of the underperforming Duke of Devonshire residents in the oversupplied Ottawa market by entering into a long-term lease with the Ottawa Hospital. The building will be used by the hospital for transitional care, adding much needed capacity to the region's health care system. We have been working with our residents and their families to find alternative accommodations with over half of them choosing to move to other Chartwell homes in the Ottawa area. Finally, I wanted to share another example of our ongoing efforts to develop individual property specific strategies to better meet the needs of our local communities. Chartwell Lansing is an older home in Toronto with smaller studio suites. We combined some of these into one-bedroom units, reducing the overall unit count from 100 to 90, while introducing changes to our operating model to reduce management costs. We are also investing capital in common area upgrades at this home. In April of 2024, the occupancy at Lansing was 64% and today, it is 89% and is on track to surpass 90% in Q2. I will now turn it over to Jeff to take you through our financial results.
Jeffrey Brown: Thank you, Karen. As shown on Slide 6, in Q1 2025, net income was $33.2 million compared to a net loss of $2 million in Q1 2024. FFO grew $56.2 million in Q1 2025, an increase of 43.1% compared to Q1 2024. Our reported FFO does not include $2.1 million or $0.009 per unit of income guarantees related to recently acquired properties. Q1 2025 FFO growth benefited from higher adjusted NOI of $27.4 million, higher adjusted interest income of $0.5 million, higher other income of $0.5 million and lower depreciation of PP&E and amortization of intangible assets used for administrative purposes of $0.2 million, partially offset by higher adjusted finance costs of $8 million, higher G&A expenses of $2.6 million and lower management fees of $1.1 million. In Q1 2025, our same-property occupancy increased 530 basis points to 91.5%, and our same-property adjusted NOI increased $12.4 million or 21.3%. Slide 7 summarizes our same-property operating results for each platform. All of our platforms posted occupancy gains in Q1 2025 compared to Q1 2024, which positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $2.8 million or 14.4%. Our Ontario platform same-property adjusted NOI increased $7.6 million or 23.3% and our Quebec platform same-property adjusted NOI increased $2 million or 32.1%. Turning to Slide 8. At May 8, 2025, liquidity amounted to approximately $450 million, which included $55 million of cash and cash equivalents and $395 million of forwarding capacity on our credit facilities. During the quarter, we raised $400 million in debentures and $93.3 million of equity through our ATM program which helped support debt refinancing and our transaction activity. And we continue to improve our leverage metrics with interest coverage ratio growing to 2.8x and our net debt-to-adjusted EBITDA ratio declining to 8.2x. For the remainder of 2025, our debt maturities include $416.4 million of mortgages with a weighted average interest rate of 4.96%. As of May 8, 2025, we estimate the 10-year CMHC-insured brokerage rate to be approximately 3.97% and the five-year unsecured debenture rate to be approximately 4.36%. Moving to Slide 9. With the continuing strong prospect traffic and leasing activity, we now forecast same-property occupancy to reach 92.2% by June of this year and continue to grow to our 95% target by the end of 2025. I will now turn the call to Jonathan to discuss our recent acquisitions and portfolio optimization activities.
Jonathan Boulakia: Thank you, Jeff. Turning to Slide 10. In January, we acquired an upscale newly built 131-suite ISL retirement residence in Victoria, BC, renamed Chartwell Victoria Harbour Retirement Residence for a purchase price of $75 million. This acquisition is our fourth property on Vancouver Island, adding critical mass in the region. We also acquired a newly built 632-suite retirement residents renamed Chartwell Rosemont Les Quartiers in Montreal, Quebec for $136 million, including $6 million in a deferred payment due in 2028. Finally, this quarter, we acquired a 100% interest in each of Chartwell Le Florilège and Chartwell L’Envol as well as the 15% of Chartwell Trait-Carré that we did not already own, all in Quebec City and its surroundings from our development partner, Batimo, for an aggregate price of $248 million. All of these newer, high-quality assets are located in strong markets and in great locations within those markets. We acquired these premium residences at attractive pricing significantly below replacement costs. We hope to continue this momentum throughout 2025, with more exciting strategic acquisitions being evaluated and at various stages of negotiation. We are also actively engaged in discussions with local and national developers across the country to restart our development program and create a meaningful pipeline of state-of-the-art assets to bring into our portfolio. We will pursue such developments in a prudent manner, with a preference for off-balance sheet development similar to our arrangement in Quebec. We also continue the path of portfolio optimization with several residences that we no longer consider core to our portfolio being repositioned, sold or planned for sale. This process will continue throughout 2025 and into 2026. An example of our work to maximize value and optimize our assets is the repositioning of the underperforming Duke of Devonshire residence in the competitive Ottawa market. Recently, we entered into a lease agreement for this asset with The Ottawa Hospital. The lease term is 15 years with annual payments of $2.25 million, subject to annual escalators. We are also pleased that the new use of this asset will contribute in a meaningful way to the Ottawa community by creating additional capacity for alternative care delivery by the hospital. Disposition of non-core properties will lower the average age of our portfolio, position our portfolio more strategically and free up capital to pursue strategic growth opportunities. I’ll turn the call back to – I’ll turn the call back to Vlad to wrap it up.
Vlad Volodarski: Thank you, Jonathan. Moving to Slide 11. We believe we are at the front end of what is going to be a multiyear period of growth in retirement living in Canada. Demand for our services should continue to grow for decades, driven by the strong population growth and lack of long-term care accommodation. Forecasts show that to maintain supply-demand balance, the sector would need to build 200,000 suites in the next 10 years, which is almost 3x the number of suites built in the previous 10 years. With the persistently high cost of construction, new development has been virtually non-existent, which combined with the obsolescence of some of the existing inventory will continue to exacerbate supply shortage. These dynamics will support growing occupancies, higher market rates and profitability of the existing operators. As one of the largest participants in the senior living sector, Chartwell stands to benefit from them. Turning to Slide 12. This year marks the last year of our strategy period that started in 2018. Back then, we set ambitious goals to grow our employee engagement score for 49% highly engaged to 55%, to grow our resident satisfaction score from 58% to 67%, very satisfied and to grow same-property portfolio occupancy from the 90.5% to 95%. The 2.5 years of hiatus called by the COVID-19 pandemic made the achievement of these targets much harder. Pandemic-related restrictions and negative media had a negative impact on our residents. There undoubtedly was post-pandemic exhaustion and fatigue of our employees and our occupancy is declining to below 77% in 2021, yet our teams persevered. And while we cannot celebrate the success just yet, we feel we’re firmly on our way to achieving these targets. We have been working on the development of our post 2025 strategy. And while the final details of it are still being worked on, undoubtedly, its focus will continue to be on resident and employee experience, operational excellence and efficiency, including the implementation of new technologies, strategic portfolio optimization and growth and prudent capital management. We will be sharing more details on these priorities with you in the fall of this year. All of us at Chartwell are optimistic about the future and united in our drive to continue delivering strong results for all our key stakeholders for many years to come. I will now close our prepared remarks with a story from one of our residences as pictured on Slide 13. Every year at our leadership conference, we recognize six residences across the country that achieve outstanding results based on resident satisfaction, employee engagement, occupancy and net operating income. We call these our Circle of Excellence Awards. From among the six, one residence is selected as Chartwell’s Residence of the Year, an honor awarded to the home with the best overall performance across these metrics. In 2024, this prestigious distinction went to Chartwell Colonel Belcher Retirement Residence in Calgary. Earlier this month, Karen, Jonathan, Jeff and I, along with several of our operations leaders, visited the residents to celebrate this incredible achievement with the team. We shared lunch with some of the frontline team members and were warmly greeted by many residents as we toured the community. The highlight of the visit, however, was a resident townhall. We opened by explaining the reasons for our visits and then invited residents to share their thoughts and questions. What followed was something truly unexpected, an outpouring of emotion, praise and heartfelt gratitude for the team members who serve this community with such dedication. Here are just a few moments that stood out. One resident declared, I’m 90 years old and the past two years living at Colonel Belcher have been the best years of my life, to which another resident quickly added excitement that’s because he’s an excellent ballroom dancer. His wife sitting quietly until nearly day end eventually spoke of tears in her eyes, she said, my husband was diagnosed with dementia two years ago, we had to move here from British Columbia, and I resented it, I was grumpy and I did not behave well. But with the patients of the staff and the comradery among the residents change that. Now I know this is the best place we could be. We truly love it here. And there was Berta, spirited resident who at 99 doesn’t look a day over 80. She told us, Christine, the General Manager is absolutely amazing. And when I ask what made Christine so exceptional, Berta said, she listens carefully, communicates clearly and get things done quickly. She’s not just respect that she’s admired by everyone here. And one of the more lighthearted memorable moments, a resident share this. I hate onions, the smile, that taste, everything. When I moved in, it only took the staff a few meals to figure it out. Ever since, I’ve never had to ask whether there are onions in my food. It’s amazing how well they remember not just what we like, but also what we can’t stand. All of us walked out of that townhall with misty eyes and full hearts. It’s no wonder, Chartwell Colonel Belcher was named Residence of the Year. What we experienced once again reminded us why we do what we do and the tremendous positive impact our teams have on the lives of so many. And that more than any metric is what defines the Chartwell experience. Thank you for your attention this morning. We would now be pleased to answer your questions.
Operator: Thank you. [Operator Instructions] Our first question is from Jonathan Kelcher from TD Cowen. Please go ahead.
Jonathan Kelcher: Thanks. Good morning. And always good to hear stories like that, Vlad. First question, just on the occupancy, I think people are pretty comfortable that you guys are going to hit or be very close to your 95% target by the end of the year. As we look forward, what do you think the portfolio could get to? What’s sort of the limit that you see?
Vlad Volodarski: Well, There are homes in our portfolio, Jonathan, that’s been running at 100% occupancy and some of them for many years in a row without a day of revenue loss. So it’s possible to do. Now to pretend that it’s achievable across 150 residences is probably too ambitious. But theoretically, the portfolio can be running at a higher than 95% occupancy. How much higher, I don’t know. Our focus right now is getting to that 95%, and then we’ll go from there.
Jonathan Kelcher: Okay. Fair enough. And then just on the Duke of Devonshire, how does the rent you’re getting from the hospital compared to the NOI that property was producing?
Vlad Volodarski: The property has been underperforming for many years, and it hasn’t been producing much of NOI. There was a bit of a parking lease revenue that was coming that’s helping the operations, but the lease from the – our rental payments from the hospital will far exceed the NOI than this property ever produced.
Jonathan Kelcher: Okay. Good to hear. And then just lastly, I know Jonathan talked about it a little bit, but how close are you to seeing developments potentially pencil out here?
Jonathan Boulakia: We have a number of developments in our pipeline that we’re looking at and we’re reworking our models on, and we think we’re pretty close on a few of them. Some of them work naturally because of the specificity of the site. So some sites are easier to work because they could be excess land on existing residences that we have and it will be easier. But even those that are not, we don’t think we’re far off from coming on site and making them work. Of course, we’re trying to, as much as possible, pursue these developments off balance sheet. So we are talking to and working with local and national developers that could take these developments on for us with a similar model to what we do in Quebec.
Vlad Volodarski: And maybe just to add to that, Jonathan, it’s not the massive amount of developments that’s still pencil in. There’s very few that we are seeing that potentially could be making sense in the next year or so. Others are still pretty far away in terms of the difference between the rents that need to be generated and the construction costs that we’re seeing right now.
Jonathan Kelcher: Okay. That’s – thanks for that. I’ll turn it back.
Operator: Thank you. The following question is from Lorne Kalmar from Desjardins. Please go ahead.
Lorne Kalmar: Thanks. Good morning. On the margin side, you guys had a pretty good showing this quarter, I think, around 41%. And I believe the target put out earlier was 40%. Are you expecting the margins to trend down over the balance of the year? Or do you think you can still keep pushing the margins higher in the spring and summer months?
Jeffrey Brown: Good morning, Lorne. We think we can stay in this 40% to low 40% range through the balance of the year given we’re seeing higher flow-through of revenue now to NOI as we push into these higher occupancy levels.
Lorne Kalmar: Okay. That was kind of my next question. That’s sort of an occupancy factor. Okay. Thank you. And then just a quick one on the carbon tax, any impact there?
Jeffrey Brown: We don’t think it’s going to be a meaningful impact just given overall utility costs, a small portion of overall utility costs, which in itself is a smaller portion of our overall DOE.
Lorne Kalmar: Fair enough. Okay. And then maybe just last one for me. You talked a little bit about the disposition side. You guys have a rough idea of where you’d like to be for the year. Or is it sort of just opportunistic at this point?
Vlad Volodarski: It will be opportunistic, Lorne. We – as we talked about before, these are different type of properties that usually attract different types of buyers. So the timing of that execution is not certain. We certainly –no properties that were identified for the potential disposition. Some of them, we are still doing work to drive a bit more value and occupancy. So it will be hard to predict today the exact timing of that, if we have any more ideas or knowledge about the timing that we can share we will. At this point in time, we can’t.
Lorne Kalmar: Can you maybe give a rough idea in terms of the dollar value of what’s sort of been classified or what you’re targeting – assets you’re targeting for sale?
Vlad Volodarski: It’s less than 10% of our suite count and a lot less on the value because these are obviously smaller properties, and it’s not as valuable as the other ones that we have in our portfolio.
Lorne Kalmar: Okay. Fair enough. Thank you very much. I’ll turn it back.
Operator: Thank you. The following question is from Himanshu Gupta from Scotiabank. Please go ahead.
Himanshu Gupta: Thank you and good morning. So just looking at the growth bucket here, and thanks for providing color on same-property occupancy and same-property margins. So question is on the growth bucket. How should we think about occupancy and margin upside in this category? And are there any specific properties within the growth bucket, which you think should drive the occupancy or margins?
Vlad Volodarski: Yes. I mean the growth bucket changes during the year. We keep adding properties to that bucket because we’re buying new properties. So comparing them period-over-period, on a consolidated basis is difficult. That’s why they are in that separate bucket. Generally, these properties that we’ve been buying and are part of this bucket are newer. So we expect the rent increases could be higher than the rest of our portfolio, plus we have a few properties, certainly the Vancouver Island, ones that we bought that are not stabilized that should generate significantly higher occupancy gains over time compared to the rest of our portfolio that now runs at over 91% occupancy.
Himanshu Gupta: Got it. And will I just to confirm, the Vista and Victoria Harbour, are they in growth? Or are they in repositioning buckets?
Vlad Volodarski: They’re in growth buckets.
Himanshu Gupta: They’re in growth bucket. And how are their occupancy? I think they were around like 28% at the time of acquisition. Are they still in that ballpark?
Jonathan Boulakia: Yes. So we – I mean it’s still very early days that we’ve taken them on just a few months. We are seeing a positive trajectory on occupancy. So it ticked up a little bit, but we are still in the thick of implementing our policies and ways of doing things in these properties and Chartwellizing them. So we expect that positive momentum to continue, but it’s still early days.
Himanshu Gupta: All right. And sorry, just to clarify, Victoria Harbour, there is no income guarantee, but Vista, we obviously had that income guarantee coming in.
Jonathan Boulakia: That’s correct.
Himanshu Gupta: Okay. Okay. Fantastic. Last question on the occupancy. I mean, obviously, momentum continues there. Are there markets which you think are strong? Are there markets you think they are still taking a bit longer trying to recover? And I think you did alluded to Ottawa being in competitive market.
Vlad Volodarski: Ottawa remains to be a competitive market. It’s interesting because there are – when we look at last year trajectory and compare kind of platform by platform, every one of our platforms delivered almost similar increases in occupancy. So at this point, in terms of the ability to grow occupancy, it’s hard to talk about markets. Ottawa continues to be maybe – but I think there’s a difference in the starting point. So some of the markets starting at a much lower occupancy and they have a longer kind of a steeper hill to climb than others. So in terms of the sort of environment and dynamics out there, they are very similar across the country in all markets that we operate. We are seeing strong occupancy gains everywhere or markets that are now at stabilized levels, they continue to inch up or remain in those stabilized levels.
Himanshu Gupta: Got it. And maybe just a follow-up. When the construction cycle kicks in, again, construction start becoming higher, are there markets which you think will be able to pencil our development faster or much quicker? I mean, like which market do you think will come first on the table as this new constructions are concerned?
Vlad Volodarski: I don't know. It would be hard to tell. I mean the construction costs in Quebec are a little – I mean I can tell you our experience. So our expectation is that we will start a couple of projects in Quebec this year. These projects are additions to the existing properties where we operate. And so we already have infrastructure and operating teams in place to run it. So the incremental contribution from these additional units is a lot higher than you would normally see on the development of a new project. And that is what makes those type of projects feasible for us today. But in terms of which market is going to go faster than the others, it's kind of hard to comment at this time.
Jonathan Boulakia: It's kind of site specific.
Vlad Volodarski: Yes.
Himanshu Gupta: Okay. Fair enough. I’ll join the queue. Thanks guys. I’ll turn back.
Operator: Thank you. A following question is from Giuliano Thornhill from National Bank Financial. Please go ahead.
Giuliano Thornhill: Good morning, guys. Maybe just going back to Lorne's line in questioning on the margin front. Just wondering kind of what percentage of homes reach that inflection point of higher profitability, like how many are at that above 90% within the same-property bucket? And how much of an impact did it have on that margin improvement?
Vlad Volodarski: Yes. We don't have like that percentage breakdown, but just maybe to answer the question indirectly, the larger homes in strong markets with high rents at 90% occupancy, they are running at a lot higher margins. We do have homes in our portfolio that are smaller or that provide a lot more care than others those homes would run at lower margin because that's just their model of operations. And so it's really a function of one, occupancy and two, service model.
Giuliano Thornhill: And did the reduction in agency costs, was that substantial kind of quarter-over-quarter or year-over-year?
Vlad Volodarski: So agency costs did get down by about 50%. We are now well below pre-pandemic levels. There's not probably a lot of more room to gain from agency reductions. We are using agency for registered staff for some less desirable shifts, like night shifts or weekend shifts. And we continue to use agency in markets where there's not enough labor, Quebec City being one. But other than that, literally agency usage has come down significantly across our portfolio.
Giuliano Thornhill: Okay. And then just on capital allocation. You've acquired a fair amount of product in Quebec City. I'm just wondering why that market's been a focus for you over the past kind of year. And yes, if there's any kind of other movements we can expect in that market going forward?
Vlad Volodarski: This was just a function of opportunities that we had to acquire high-quality, newly built properties in the strong markets. And by the way, they are operating at very high occupancies above 95% for sure. And so we've executed on those opportunities. Quebec City is a very strong market with a very high penetration rate. I think it's over 20% in that market. And so we're happy to be present there at larger scale. In terms of the focus, we're looking to acquire properties everywhere where we operate in all four provinces with maybe a bit more focus on Western Canada.
Giuliano Thornhill: Okay, thanks. I’ll turn back.
Operator: Thank you. Following question is from Mark Rothschild from Canaccord Genuity. Please go ahead.
Mark Rothschild: Thanks and good morning, everyone. In regards to the demand you're seeing, to what extent does a slowing housing market and less transaction activity and maybe for some people who are looking to move into properties, it's more difficult to sell their homes now. Does that have a potential to impact the demand and move-ins over the next year? And obviously, it's a unique time, both in the housing market slowing and in such strong demand. But maybe if you can talk about also in prior cycles, how that has happened, how that has affected it?
Vlad Volodarski: Sure. I think our experience there in some of the studies that we've seen over the years coming out of the U.S. correlated the occupancy in retirement living with the velocity of housing sales, not so much with pricing. So the way we read it is to the extent people are able to sell their home, they still move even if the prices have come down. We did see a disruption in our ability to replace people and turn over or grow occupancy in the U.S. when we operated there. Long time ago now, but during the financial crisis, there were certain areas where there were no housing sales happening at all the market freeze or froze. And at that point of time, we did see the impact on our occupancies there. And interestingly, on the recovery side, the prices will continue to come down. But the sales picked up, and we instantly saw very strong occupancy recovery in those markets. But now that was now 15 years ago, so past history. So does it have the potential to slow down? Absolutely, it does because if people cannot sell their homes. And the move – we are a niche-driven business, but at any given point in time, the move to retirement living is discretionary. People will – may choose to stay longer in their home and get care somewhere else and support of their family. So that potentially will have an impact. As you mentioned, probably is offset by the significant growth in demographic and population. And so right now, we have not been seeing a significant impact and so it does have the potential to slow down.
Mark Rothschild: Okay. Great. Thanks. Maybe just one more in regards to new development, it sounds like it's getting to the point where some more projects will make sense. But what's your expectation on the private developers who maybe have different cost of capital and different ways of evaluating returns and accretion. Are you seeing that start to pick up? And maybe do you expect that to happen with such strong demand and rent growth?
Vlad Volodarski: No and yes. So we haven't started – we haven't seen it happening yet, and I do expect that there will probably be more development going on both from private developers and an institutional developers over time. And my hope is that our sector now being more recognized as an investable sector and will attract more capital and liquidity to it, including development.
Mark Rothschild: Okay, great. Thanks so much.
Operator: Thank you. [Operator Instructions] The following question is from Tom Callaghan from BMO Capital Markets. Please go ahead.
Tom Callaghan: Thanks. Good morning, guys. Maybe just a quick follow-up on the development side once again. But Vlad, you did mention kind of a large number of projects are still a little ways off in terms of penciling. And just wondering if you could kind of talk ballpark gap wise, what the rents are in terms of where we are today versus what you need to potentially passel those? And then just as a follow-on, I guess, given the backdrop, demographics and construction time lines, what are you comfortable kind of underwriting today in terms of rent growth on an annual basis?
Vlad Volodarski: Yes, that's a great question, Tom. So again, it's size specific and it depends on the market. In some markets, we may be more aggressive in underwriting rent growth than in the others. I still feel that for the most projects, there's 20%, maybe 25% gap between the rents – the market rents today and the rents that need to be achieved to justify development. So if you think about that four or five years of 5%, 6% rental rate growth would probably help to make more of these projects feasible at least on paper.
Tom Callaghan: Great, thanks Vlad. I’ll turn back.
Operator: Thank you. We have no further questions. Sorry, we do have question from Himanshu Gupta from Scotiabank. Please go ahead.
Himanshu Gupta: Sorry for coming back again. A quick question on balance sheet. I think you paid $150 million unsecured debenture in April. So just wondering, did you use CMHC debt financing or any other source of funds to pay off that?
Jeffrey Brown: Yes, Himanshu, we closed just $180 million of CMHC financing at the end of April, we used proceeds from that to repay the debenture.
Himanshu Gupta: Okay. And what was the rate on that CMHC?
Jeffrey Brown: It was approximately 4.15%.
Himanshu Gupta: 4.15%. And would you say that now CMHC is becoming more attractive than unsecured at this point of time?
Jeffrey Brown: Yes. We've seen that rate drop a little bit to around 4%. And we've seen the unsecured debenture market widen by 30 to 50 basis points from where we did our transaction in March. So CMHC is becoming relatively more attractive.
Himanshu Gupta: Awesome. Thank you and I’ll turn back. Thank you so much.
Operator: Thank you. And we have no further questions registered at this time. I would now like to turn the meeting back over to you, Mr. Volodarski.
Vlad Volodarski: Thank you, everybody, for joining us. As always, if you have any further questions, please do not hesitate to give any one of us a call. Goodbye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.